Operator: Thank you for standing by. This is the conference operator. Welcome to the NovaGold's Second Quarter 2025 Financial Results Conference Call and Webcast. I would now like to turn the conference over to Melanie Hennessey, Vice President, Corporate Communications. Please go ahead.
Melanie Hennessey: Thank you, Aisha, and good morning, everyone. Thank you for joining us on NovaGold's 2025 Second Quarter Webcast and Conference Call and also for an update on the Donlin Gold project. On today's call, we have NovaGold's Chairman, Dr. Kaplan, NovaGold's President and CEO, Greg Lang; and NovaGold's, Vice President and CFO, Peter Adamek. At the end of the webcast, we will take questions by phone. Additionally, we will respond to questions received by e-mail. I would like to remind you, as stated on Slide 3, any statements made today may contain forward-looking information, such as projections and goals, which are likely to involve risks detailed in our various EDGAR and SEDAR filings and forward-looking disclaimers included in this presentation. I will now turn the presentation over to our Chairman, Dr. Kaplan.
Thomas Kaplan: Thank you, Melanie. It gives me great pleasure to be able to introduce the reintroduction of NovaGold into the gold development space. If you look at the first chart, which we've put up, you will notice that for many, many years, the trajectory of NovaGold was as perhaps the most highly rated gold development stock in the [ GDXJ ]. There were a number of reasons for this, but I want to put this into context for the simple reason that if you look at this chart, what you see is that going back as recently as 2021, NovaGold share price was $12. The company was a $4 billion market cap. We were on our way to updating our feasibility study, which we believe very strongly would have led already to a construction decision. As a consequence, of a relationship, or a [ fraud ] relationship with our then partner, we were at an impasse. That impasse in turn, led essentially to NovaGold being, if not dead money, then comatose. This is extremely important to understand. There's no doubt in our minds that what has transpired over the last quarter is going to allow us not only to revive, but also once again, to surpass the highs that we had at $12 to $15 as recently as 5 or 6 years ago. This is our agenda. What you're going to hear over the course of this call is that the company now, having removed the one headwind that it had in the context of so many tailwinds, not least of which is the gold price, but also facts on the ground, drilling successes, permitting successes and the like, we want to reestablish not just a practice of being able to go back to taking Donlin up the value chain, but also reestablishing our valuation. In this, I can tell you, we will be absolutely uninhibited. As far as we're concerned, we will get back to the $12 to $15 range, which was status quo empty before 2020 and more than that, we will then make up for the lost time, considering that the gold price at that time was thousands of dollars less than where it is today. Here are the reasons why. If I can ask to go to the next slide. Let's ask ourselves the question. What is it that has enabled me, or the [ Electrum ] Group, which is our holding company in which it's my family, shareholder capital and sovereign wealth funds who are our only outside shareholders. What is it that over 17 years has not only not resulted in deal fatigue, but has actually resulted in greater enthusiasm than ever before. And enthusiasm, which has been reinforced and reaffirmed by an enormous investment by our new partner, which is [ Polson Advisors ]. Ask yourself the question, what is it that propels [ Electrum ] with a very, very, very strong multi-decade track record in taking category killer assets up the value chain, but also now [ Polson Advisors ] to purchase 40% economic interest in Donlin itself for $800 million. Let's go through these attributes. In fact, let's take one step back. Prior to our becoming in stasis with our partner, I would ask the question, and this contributed no doubt to our premium valuation. Is there any other gold development story in the world today, which has the following combination of attributes? If not, then I think it's fair to say that Donlin is unique in the gold space. These are the reasons why [ Electrum ] and [ Polson Advisers ] and a very, very, very high-quality sophisticated smart money shareholder base invests in NovaGold. First of all, it's possible that there's never been a gold mining story, which began with 40 million ounces. For sure, there has not been one for many, many years, which began with an average production over the nearly 3 decades of initial mine life of well over 1 million ounces of gold. I want to also put that into perspective because you will probably be hearing about this, and it does change some of the calculus of analysis going forward. The first 10 years of production are actually 1.4 million ounces on average, [ 1.5 ] in the first 5 years. We start with decades of mine life, and we believe for reasons that you'll hear that we have the potential to add decades more. This gives us the possibility that within that 10-year time frame, we will be able to position ourselves so that we will maintain the 1.4 million ounces annually. So we can start with an amortization, but the reality is it's the nature of the size of the ore body, and the quality of the ore body, that allows us to be able to think of this as being a 1.4 million, 1.5 million ounce gold producer for decades to come. What's also exciting about this is that because the deposit enjoys a grade that is double the industry average at this point, an industry average, which for better or worse is actually falling to below a gram. We will have cash costs in the lower half of the industry's cost range. In fact, at today's prices, we would estimate that margins could be in the thousands of dollars. This is important because quality matters, grade is king. And for a large-scale open deposit, Donlin really is an emperor. Now in terms of size, as I mentioned, 40 million ounces to start. And that's really because we have another inferred 6 million ounces, very close to the pit, let's say, 45 million ounces, not just in M&I, but with some inferred. The great gold strike mine ultimately reached 40 million ounces. We begin there. So we have size and we have quality. And more than that, we believe that, that's just scratching the surface. Only 5% of that land package that we have at Donlin now between NovaGold and [ Polson ] has been explored. As I recently discovered because it's been so long since we could look at being in control of our own destiny with regards to mine progress, regional exploration really stopped in the early 2000s after the failed Barrick hostile takeover attempt of NovaGold in 2006. At that point, there really wasn't that much more incentive for Barrick to continue to highlight greater reserve growth, or indeed the possibility that the next Donlin could be at Donlin. The chances in fact, that there is no other occurrence other than the one that we have is probably very low. But just to highlight what Melanie said, that's a forward-looking statement. Having said that, [ Eluctrum's ] own geologists believe that there's a very good chance that the next Donlin could be at Donlin. Let's put that aside because that's where you come into the idea of Donlin as being the new [ Carlin ] or the new Nevada. Just along strike and at depth, we are open and we do believe that we can see millions and millions, if not tens of millions of ounces just on the 8-kilometer mineralized belt. The 45 million ounces is on only 3 kilometers of the 8 kilometers. And once again, that 8 kilometers only represents 5% of the land package. Now there's no question that by any stretch, Donlin is world-class. As we would say, we think it's unique and we think it's the best in the world. And we're very fortunate now to have a partner who echoes these sentiments, both publicly as well as privately. But I don't believe that in today's world, it's good enough to be world-class. I believe that the premium valuations are going to be given to those assets that when an investor calls up a broker and says, I think it's time for me to have some exposure to the gold space. What do we have in safe jurisdictions, with a trustee management, smart shareholders and of great asset quality? I think that going forward, one of the names which will be put forward is NovaGold, One of the reasons is that, as I said, it's not just world class, but it's located in the right part of the world. As I experienced last week with my son, when going on a site visit to Donlin, it's a place where you can take a side visit to go whale watching, or hike along glaciers. It's not the heart of darkness. You don't have to worry about insurgents. You don't have to worry about governments, which are rapacious. It's a great area to be a mining company. In fact, Alaska is already the second largest gold producing state in the safest jurisdiction in the world. Our native corporation partners have been our greatest champions. Remember this, Donlin is located on private land designated by law for mining. We couldn't be in a greater place, and that's proven by the fact that in a unique event, the Bureau of Land Management, and the U.S. Army Corp of Engineers together, provided us with our federal permits and state permitting is absolutely on track. Our commitment to ESG, the well-being of our people and communities, good governance, all of those boxes are checked for the investors we have and those who we expect to be coming on board. And now we have the game changer because now we have a partner who is completely aligned with us philosophically as well as financially. They bring along attributes in terms of access to capital and more than that, expertise. They are one of the only groups in U.S. institutional firmament, which actually have in-house talent and a great in-house track record on being able to take Donlin like assets, great assets up the value chain. Combined with our management team mine building capabilities, we think that this is the absolute game changer that will get us back to not only where we were in every respect, including share valuation 5 years ago, but now allow us to be able to really achieve escape velocity. And finally, but by no means least, as evidenced by the relationship that has been shown by Paulson, who's been in the story with us for 15 years and suffers clearly no more deal fatigue than we do, which is to say we're more excited than ever. But also so many of the long-term institutional investors who joined us in our offering, including [ Lingotto ] and [ Copranic ] and [ First Eagle ], so many long-term shareholders too many to thank right now. But it's because of you that we were able to survive. And our mission is to be able to give you as immediate gratification as possible. Next slide. Again, having discussed all of the attributes of Donlin, let me reiterate that one of those things which gave John Paulson, so much confidence in being able to work with us was not only the asset quality, but the quality of the management team itself. Many of you, of course, know Melanie Hennessy, or have engaged with Ben [indiscernible] and Peter Adamek. But let me just focus for a moment on Greg Lang. Prior to joining NovaGold, Greg Lang was a 30-year veteran of Barrick and its predecessor companies. The first time he ever left was to come and join NovaGold. This is extremely important. He was President of Barrick North America for 8 years prior to joining us, including being part of the team that made the takeover attempt of NovaGold in 2006. On his watch, gold strike was not only developed, but [ Cortez ] was built. You saw the advancement [indiscernible] Ridge [ Bald Mountain ], his experience, his framework of reference in the North American space is as strong as anyone else's in the industry. Similarly, Richard Williams before joining us, was the project manager who put Pueblo Viejo, then Barrick's largest mining investment into production. In both cases, these stories came in on budget and on schedule. And in the case of Cortez and Pueblo Viejo have been excellent mines for Barrick. In other words, we have a bench of mine builders in the Americas as well as those who have the experience in permitting as strong as any other company in the space, I would put them up there even with [ Agnico ]. Next. So all of these things not only kept Paulson in the NovaGold story for 15 years. But as he watched the story progress, he came to the conclusion that as he's been a gold bowl for as long as I have, that is to say a couple of decades, at least, he came to the conclusion that the great trade of our generation will turn out to be gold. I think there's no doubt in our minds that that's already happening. But remember, this is a man, this is an organization that having identified the big trade and the displacement that was coming in the housing crisis, sub-prime and the like. Not only identified the macro factors before anyone else, but also, as [ George Soros ] put it, brilliantly found the right vehicles with which to be able to express that trade. Vehicles that could give him and his stakeholders 10, 20x returns. So here you have someone who not only has gotten the macros right on gold, but also has made clearly the biggest bet that Donlin is the best vehicle with which to be able to express that trade. As he put it, when we made our announcement, Donlin Gold is one of the most attractive undeveloped gold projects in the world. With 39 million ounces of gold that double the industry average grade and an optimal location in the prime jurisdiction of Alaska, already the second largest gold producing state in the United States. We believe that the project could create value for decades to come, enjoying excellent social license and formidable exploration upside potential to significantly expand its resources and production profile, Donlin Gold constitutes a superb opportunity for us to gain leverage to gold in the United States. Together with Donlin Gold's partners, Calista and TKC, we are dedicated to responsibly advance the Donlin Gold project. We could not have a more aligned partner. We've literally gone from misalignment to perfect alignment. And this is going to be reflected in the decisions and the announcements that will be undertaken in the weeks ahead. But more than that, for those who are inevitably going to be looking at the NovaGold story and really want to understand it because for so many people, they haven't heard about it practically for 5 years. So it's a new story in many ways. They're going to be calling up, John. I have no doubt. I have no doubt that some of our largest shareholders as people gotten on to the fact that the gold bull market is enduring and that gold and precious metals equities are going to be re-rated, they're going to be calling up our largest shareholders. And the beauty is because they are so well informed, they will be giving answers very similar to the ones which I am. So now let's take a look at the Paulson track record. I'll get to a case study, which is Detour Gold, which ultimately led to a major shareholding in [ Agnico Eagle ]. But there are others. Perpetual resources is on the critical strategic and critical minerals list of the United States. As a consequence, they have secured nearly $2 billion in funding from the U.S. government. I should say this under the Biden administration. And for all of the reasons that the Biden administration was clear on its desire to be able to bolster the mining industry, one knows that its successor administration not only feels the same, and has added gold to the critical minerals list, but is also very, very focused on Alaska. But if you look at [ Perpetual ], [ Perpetual ] has gone from $2,$3, 5, 6x over the last 1.5 years. And when we made our announcement, John actually said he thought that as we move back up the value chain with the updated feasibility study, similar things will happen to NovaGold itself. So we're lucky not only to have a smart adviser, but one who can give us tremendous advice as we go up the value chain to maximize all aspects of access to capital. Next. Let's face it. We are clearly gold bulls. Let me start by saying to anyone who wonders whether gold is in nosebleed territory, it isn't. When I first started being bullish on gold publicly. In 2007, I was in the process of selling my energy company. And at the same time, moving into gold. Gold was at $550 an ounce. Oil was going to the $100 that I believed it would hit. We sold our energy company pivoted into gold in 2007. At that time, my target was between $3,000 and $5,000. No fear factors came into that calculation, just based on one thing to be able to have a currency, a financial asset that didn't represent someone else's liability. For me, the Holy Grail was Donlin. And on December 31, 2008, when NovaGold was in trouble from being a nonshareholder, we effectively took over the company, because our view was that gold was going into the thousands of dollars. And for the reasons that John has stated, this would give us the maximum leverage to a bull market. My personal belief on gold is that we are now just in the foothills of the bull market, not dissimilar to where we were price-wise, even to where the [ dow ] was in 1988, for example. And I think that we're going to see, for a variety of reasons, the competition between central banks and the private sector, the continuing competition between India and China over who is going to be the largest consumer of a scarce resource the inflation, deflation protection, asset diversification. And let's face it, the reality is that since 2022, in terms of geopolitical reasons, but also in terms of what happened when the sanctions were put on Russia and most of their assets, other than their gold, were confiscated. The official sector revaluation of gold is going to continue. Basically, every central banker who ever argued that they should be buying more gold looks like a genius. They're not paid to in [ '20 ]. There is absolutely no reason for them to argue anything against because who wants to sell something that could be on its way to $5,000 or $10,000. Also, as I've always said, whenever you see the Indians and the Chinese competing over a scarce asset, you want to own some too. I used to think that, that should be enough to get people interested. It wasn't, but the reality is that, that in and of itself is a great asset. That and the fact that we know the Chinese have been hoarding gold far, far more extensively than their official sector. When they choose to announce how much more gold they have, I would likely say it will be significantly more than the Americans reserves. It's going to have a signal impact on the perception of the [ renminbi ]. Next, so let's talk about the leverage that we and John Paulson see in terms of what Donlin provides. The leverage is absolutely extraordinary. If we just looked at $3,000 gold at a 5% NPV, Donlin is $15.2 billion based upon our last technical report. I have to tell you, I got into this business in the early '90s when the gold, or the frontier spirit in looking for gold or silver, was such that you went all over the world. At that time, U.S. assets were valued using a 5% discount -- excuse me, a 0% discount rate because they were arbitraged against the then risky jurisdictions of Canada, Australia and South America. The world's changed a lot in the last 20 years. For what it's worth, as somebody who made their [ bones ] as one could say, in Bolivia's, Zimbabwe, South Africa, I sold the [ Kibali ] project to [ Randgold ]. I'm very familiar with the developing world and making money in Africa, South America as well as North America. I just happen to believe that, that era is over. That it's all about being able to have extraordinary leverage to an underlying theme, in this case, gold, but knowing that it's in a place where you can keep the fruits of that leverage. Knowing that when you go to sleep at night, when you wake up in the morning, what you thought you owned, hasn't been taken away from you by miscreants on the ground, or [ Vena ] governments. You want to be in the United States, ideally. Nevada is great. Alaska is the #2 in the United States and hopefully, catching up is a fabulous place. Like I said, the premium valuations will be given to the places where people want to go on site visits. We see gold going much higher. The reality is that by any stretch of the imagination, NovaGold is undervalued. And I'm very grateful to John Paulson for allowing NovaGold to go from 50% to 60% economic interest. We look forward to developing this leverage in tandem and more so, being able to show areas where we fully expect there are some pleasant surprises for our shareholders. Let's look at an example of what the Paulson team did in a premier jurisdiction. After an investment of $500 million in Detour Gold, they took an activist stance nominating directors, which were approved. Key changes were made. The company successfully optimized the mine plan, improved recoveries, reduced ASIC. And a year after company changes [ Kirkland Lake ] acquired Detour for $3.7 billion in 2019. If you had invested alongside Paulson, you would have had 130% plus over a year. But if you kept the successor to Kirkland in this story, [ Agnico ], you would have made 450% over 6 years. And you would have been an owner in the largest gold mine in Canada. Some of these things should ring bells. We have great smart shareholders taking big bets on extraordinary assets in safe jurisdictions. Like they say, the past is prologue. Next. So with that, what can you expect from the new NovaGold? First of all, we couldn't be coming back to the market at a better time. The underlying gold price fundamentals are stronger than ever. And we now have new co-owners, which are completely aligned with wanting to see the shares of NovaGold rise. Everyone understands that the best way to crystallize their investment in Donlin, whether a direct ownership stake in Donlin, or through NovaGold, knows that they can look forward to a dynamic and sustained narrative of progress. This will not be going into a no news hibernation. Not at all to the contrary. First of all, the commencing of the feasibility study update, which should have taken place in 2021 but didn't, for historical reasons that we don't have to dwell upon unless you want to ask questions. This is going to be a major catalyst as it develops news flow about the assembly of the team and the blue chip consortium that will be coming together to do the studies that will take us to a construction decision. The drill programs, which, despite delivering some of the best drill results over the last few years in the gold mining industry will be no longer directed towards where they're no longer needed, because whatever testing Barrick wanted to do on the resource was more than proven to be accurate. But drill programs will be developed on expanding reserves and resources, adding more proven and probable ounces per share, and pursuing further exploration at depth. We are open to depth. We are open laterally. There's every reason to be able to expect good news and on a systematic basis. I also want to add this. As I said before, 95% of this property was unexplored because at least one partner didn't want to see another Donlin discovered. We are going to implement a regional exploration program to cover the rest of our land package. The chances that something else is there that it's a one-off occurrence of whatever it would be. 70 million, 80 million, 100 million ounces along strike. This is possible, but we don't think it's likely. So watch this space. Meanwhile, we'll be supporting state permitting efforts, engaging proactively with government representatives, and of course, collaborating on ongoing stakeholder outreach and investment initiatives in Alaska, anyone who's been up with us to Alaska knows that we enjoy unbelievable support from our native corporation partners who I'm very gratified to say are as excited about this transformative transaction with Paulson advisers as we are. Thank you very much.
Peter Adamek: Thank you, Tom. Turning to Slide 14. NovaGold reported a net loss of $54.3 million in the second quarter of 2025, representing an increase of $40.6 million from the comparable prior year period. This increase was primarily due to a $39.6 million noncash, nonrecurring charge related to warrants issued as consideration to certain investors for providing a backstop commitment as part of the Donlin Gold transaction announced during the second quarter. Excluding the impact of this noncash charge, our results for the 3 and 6 months ended May 31, 2025, reflect lower G&A spending and elevated Donlin Gold expenditures related to the 2025 field program in line with our budget and guidance. On Slide 15, our treasury increased by $225.7 million to $318.7 million at the end of the second quarter, primarily due to the closing of a public offering of 47.9 million shares and a private placement of 17.2 million shares early in May, generating $234.1 million in net proceeds to the company. The net proceeds from the May capital raise were principally used to purchase an additional 10% interest in Donlin Gold early in the third quarter. The balance of the proceeds will be used to fund NovaGold's share of expenses at Donlin, including the update to the Donlin Gold feasibility study and for general corporate purposes. Excluding the equity financing, corporate G&A costs during the second quarter declined by $0.8 million, while our share of Donlin Gold funding increased by $3.1 million due to increased site activity in 2025 compared to the prior year when fieldwork activities were minimal. Moving now to Page 16. And as discussed on the previous slide, our treasury increased to $319 million at the end of the second quarter. Shortly after the end of the second quarter, we completed the Donlin Gold transaction on June 3. And on June 5, we announced the full exercise and closing of the underwriter's option to purchase an additional 15% shares following the May public offering, generating an additional $25.6 million in net proceeds to the company. Pro forma these two announcements, our ending second quarter treasury stood at a very robust $136 million. Our cash expenditures for the first 6 months of fiscal 2025 have remained in line with our 2025 budget and guidance. However, given that our share of funding Donlin Gold's expenses has increased from 50% to 60% with the closing of the Donlin Gold transaction early in the third quarter, we expect our share of Donlin Gold funding to be higher than our previously issued 2025 guidance of $21.5 million. In light of the closing of the Donlin Gold transaction, NovaGold intends to provide an updated 2025 guidance with the release of our third quarter results. And with that, I will now turn the presentation over to Greg to discuss the second quarter highlights.
Greg Lang: Thanks, Peter. The primary focus up in Alaska this year is a drill program. We started drilling in March, and we're about halfway through a 15,000-meter program. This program is focused on resource conversion in and around the ACMA and Lewis deposits. We also continue an extensive government and community engagement. Our new General Manager, [ Todd Dolan ], who joined us recently from [ Kinross ] traveled through the capital to meet our [indiscernible] officials from Alaska, and reinforce the project's importance to both the state and the Y-K region. We continue to be active in community meetings and held one recently in Crooked Creek, which is the nearest community to the Donlin site. These meetings are about the advisory committees that we set up to enable the local residents, to have input into the Donlin Gold project, and keep them informed of all of our activities. We also continue to support safety programs traveling along with [ Cusco Quinn ] River distributing life jackets, and other essential items to the local villages. We've also been actively involved in a cleanup green out program where we help the communities dispose of trash and other hazardous waste throughout the Y-K region. Next slide, please. Permitting has been a focus of ours for many years and we're continuing to advance the existing permits, as well as defend our permits in the courts. We have prevailed through the court greetings rulings in all of the Alaska Court houses and the Alaska Superior Court recently upheld our 401 certification. In the federal litigation, the court appalled 2 out of 3 points that the plaintiffs raised. The court also remanded the project to do an additional study related to a tailings dam issue. And the order was recently received and the court rejected the plaintiff's position to vacate the permits. So our permits remain solidly intact. Next slide, please. So why would you look at investing in NovaGold? And why now? Donlin is well positioned to be a major gold producer. As Tom highlighted earlier, for the first 10 years, we were average 1.4 million ounces a year, making Donlin one of the largest, if not the largest, gold mines in the industry. When you compare Donlin to the other development projects that are advancing, it's more than double the average output of these other projects. Next slide, please. Grade is something that really sets the Donlin project apart from the other peer groups. Our grade is 2.25 grams, which is better than twice the industry average. The new mine in British Columbia recently came on stream quite successfully, and they're making good profits and their grade is 1/3 of what the Donlin grade is, which will enable Donlin to have exceptionally low cash costs. Next slide, please. This slide highlights the exploration potential on and around the Lewis and ACMA deposits. The ongoing drill program right now is targeted at sparsely drilled areas in and around the ACMA and Lewis deposits, where we have the potential to convert inferred resources and upgrade them into measured and indicated. A long trend, we've got gold-bearing drill holes all up and down the 8-kilometer belt, and we've only extensively explored 3 kilometers of this area. As Tom mentioned, we're going to be exploring throughout the claim holdings at Donlin and the areas shown here represents just a fraction of our total land package up in Alaska. Next slide. Alaska is a great place to do business. And some recent developments that we find quite exciting is one of them is the President has declared gold to strategic metal and issued executive orders aimed at unlocking the extraordinary resource potential up in Alaska. One of the areas of focus for the government, both on the state and federal level, is building a gas pipeline to bring natural gas down from the north slope into the [ cook inlet ] for export. And that's very important to Donlin because we had envisioned importing natural gas into the project and delivering it to the site and a pipeline. Alaska is a great state. It's already the second largest producing state in the U.S. Government in Alaska value responsible resource development. As far as a jurisdictional rating, it's one of the top jurisdictions in the world. Next slide, please. Donlin is on private land owned by two Alaska Native Corporations. Calista owns the mineral rights and TKC owns the surface rights. We got long-standing relationships with them. They have an owner's interest in seeing this project go forward. We were recently up in Alaska with the group of analysts and shareholders, and it was clear to everybody how excited they are about the project finally having a path forward. Next slide, please. Permitting is a very through transparent process in the United States. We have completed our federal permitting process a few years ago, and we have a time issued a joint record of decision from both the Army Corps of Engineers and the Bureau of Land Management. We've also gotten all of the infrastructure, including the pipelines secured. The only remaining state permit of any consequence is for the tailings dam and other water retention structures. We've submitted the preliminary design packages. We anticipate having these permits in hand welling advancement of beginning activities at the site. The state permits that are completed are also shown on this chart. Next slide, please. Yes. NovaGold remains committed to good governance at our Board level. Our Board is well diversified and many industry veterans are represented on our board. From a health and safety point of view, the Donlin site has worked well for a decade without a lost time injury and our program so far this year is continuing that impressive record of no harm to our employees. On the environment, we've always maintained a vigorous focus on the environment, and we continue to do that. Next, please. Donlin enjoys -- or excuse me, NovaGold enjoys great institutional support. Our top shareholders are listed here. Many of them have been with the company and invested for a lot of years. Next, please. That concludes our presentation this morning. And I'd like to, at this time, really thank our shareholders who are listed here for their investment in the company and their confidence in the direction that NovaGold and the Donlin project are moving. At this stage, I'd also like to express our gratitude to our Chairman and our Board of Directors, and everyone on the management team for their tremendous efforts in getting our transaction to increase our interest over the line. NovaGold is in a fantastic position right now. For the first time in many, many years, we have a very clear path forward. It's an exciting time for us, and we look forward to updating the markets and our stakeholders as we execute this year's program and continue to move the Donlin Gold project up the value chain. We'll now turn the line over for any questions that might have come in.
Operator: [Operator Instructions] The first question comes from Nicjk Giles with B. Riley Securities.
Nick Giles: Congratulations on the transaction and all the recent progress. My first question, can you remind us of the capital intensity of the feasibility study and ultimately, what timing could look like there?
Greg Lang: Sure, Nick. Thank you for joining the call this morning. The last refresh we did with -- of the capital was several years ago. It was a little over $7 billion. And I think what we're really focused on now is we know these numbers are stale and need to be updated. And that's, hence, why we're focused on completing a new feasibility study. Right now, we're preparing the necessary documents to solicit proposals from qualified engineering firms that can execute on the feasibility study for us. By the time we get the proposals out, evaluate them and award a contract, we would anticipate kicking off the feasibility study somewhere late in the third quarter, or fourth quarter of this year. It's a process that we anticipate will take about 2 years on a 100% basis, cost about $80 million.
Nick Giles: That's super helpful. I appreciate that detail. Maybe my second question really. With Barrick out of the picture now, how should we think about maybe the magnitude of annual spend changing? Or ultimately, how funds will be allocated in 2025 or in 2026 and beyond?
Greg Lang: I think -- now that, I guess, the noise from the transaction is behind us, I think our corporate spending will return to its historical levels. At the Donlin site expenditures will be higher as we embark on the feasibility study. Not really substantially higher than this year because we've got a drill program underway, and that's a fairly expensive activity. In 2026, the spending on the feasibility study will start to ramp up. But I think as you look forward about the projects and Donlin's expenditures, the feasibility study will take about 2 years. So you could anticipate just making the math simple, about $40 million each of those years. And our share of that would be, of course, 60%. The spending at NOVAGOLD, it will certainly increase as we move forward. And our treasury is in, as Peter highlighted, it's very robust now. We have more than sufficient funds to take the company and the project through to a feasibility study and ultimately a construction decision.
Nick Giles: And maybe one more if I could. I know it's a bit early, but how are you thinking -- in this new phase, how are you thinking about funding the project? Is there kind of a debt-to-equity split you have in mind? Any color you can provide on ultimately financing later down the road?
Greg Lang: Sure, Nick. And I think at this stage, I'll flip that question over to Dr. Kaplan, our Chairman.
Thomas Kaplan: Thank you, Nick. Good to hear your voice. Appreciate your support. I'm not worried about financing. The toughest deal that I've done in 32 years that I've been in this business was the one that we just concluded to make the purchase with Paulson to buy out the Barrick stake. And let me explain why. I spoke to multiple very blue-chip names, who are brand names who were willing to come into the story. Ultimately, John realized that this was literally the best opportunity he ever had. So in addition to being willing to come in, ultimately, he was willing to do the entire $1 billion himself. We worked it out amongst ourselves and the best thing for the NovaGold share price, and therefore, to crystallize the value for him was through NovaGold having in addition to all the other things that came with this alliance, a larger economic interest that would not disenfranchise him at all. But in that process, it was very apparent to me that whereas there were those who might be willing to invest $0.25 billion. Every single one of them would have given us the $1 billion and wanted to put money into project financing had the FS, the feasibility study, been updated. Now of course, there's a chicken and egg to that because if we'd had the updated FS, which we hope to deliver in a couple of years, I think the share price would have been at least $15 anyway, which means all things being equal, we would have had to pay $4 billion or $5 billion for Barrick's stake, which would have been very, very difficult. So what we learned was that we have a lot of access to capital. We have tremendous goodwill from those who want to see the biggest gold mine in the United States in one of the safest places in the world, get built in large numbers, $1 billion, $2 billion checks. What the debt equity will look like remains to be seen because we have so many options ahead of us. If you have an 8- to 10-year mine life you have certain limits. If your mine life is measured in decades, starting with 3, potentially being 5, 6, 7, 8, you have the ability to use the resource in ways that can mitigate dilution, which is our agenda. We have not been promiscuous in capital raisings. The last time before this exercise that we raised money was in 2012, when Greg and I came into NovaGold, and we went out and did a tour to introduce ourselves as CEO and Chairman, respectively. This is a unique story. It's a very special situation. And if there's one thing that I learned, the toughest capital raising that I will ever have had to have done was the one we just did. And by the way, let me just add the reason why. We needed it to be secret. We needed this to be as closely held as possible. Over the last year, I have -- we all have fretted that the purchase price might change because of our market capitalization changing. The reason why we bought this for $1 billion was because that was the value of the market cap of NovaGold, when Mark Bristow and I had a conversation that led to me making an offer, and he's pondering it and accepting it. I tried to buy the other half of Donlin 5 times over the last 15 years. One thing I've definitely learned just because someone says, no, it doesn't mean that you don't keep asking because circumstances have changed. And that's exactly what happened with Barrick. Everybody understood that Barrick was making a pivot that ultimately became several days after the purchase that we made, a pivot from Barrick Gold to Barrick Mining. Everyone understood that the 30% growth in gold equivalent production that Barrick is projecting is 80% copper. So we never got questions as to why Barrick wants to be able to pivot, because they were literally moving from a pure gold profile with a little copper to trying to be a more diversified mining company. The issue that we had was we just didn't want this news to get out because candidly, I was afraid the stock would rise, and then the deal would be lost. And it's amazing, but things just worked out that way.
Operator: The next question comes from John [ Osha ] with Global Alliance Securities.
Unknown Analyst: I have no questions, its been answered.
Melanie Hennessey: Great. Aisha I will then turn over to questions coming in via the webcast. Our first question comes from the line of Michael Postevoy from Texas Teachers. Tom, you said that the next online may be found within Donlin. If such a discovery were to materialize, could you share your thoughts on the potential geopolitical implications, specifically how it might -- how it might reposition Donlin from a Tier 1 asset to a Tier 0 asset, one of true geopolitical and monetary significance?
Thomas Kaplan: Thank you very much, Michael. As you yourself know, but which I'll elaborate just for our audience, as I mentioned, there has been no regional exploration done outside of the 8-kilometer belt that represents only 5% of the land package. It's for historical reasons. It had to do with the dynamic between Barrick, NovaGold. Barrick always believing that NovaGold would fall into their lap. Therefore, why do you want to expand reserves to make NovaGold more valuable? Why do you want to advance it so that -- there's a feasibility study that people can then see you know what gold prices are needed? And very interestingly, no regional exploration. And this is extremely important because some very, very smart -- how should I put it, insights into the likelihood that a 40-million ounce occurrence is isolated without other occurrences in the vicinity is extremely low. We think it's unrealistically low. Now Donlin is already a strategic asset in the scheme of geopolitics. Right now, we have what's going to be called the Gold wars. And it's being fought strategically by China, and we reckon this administration. China buys all of its production, and it's the largest producer in the world. It's also the largest importer of gold. Chinese estimates, or Chinese statements about the size of their reserves, official reserves are almost impossibly low, unless they have the most sophisticated plumbing for retail distribution of any asset class in the world. We don't think that's the case. We think that gold is already part of the geopolitical narrative, certainly between the Chinese, the Russians and other countries, which have been large consumers of gold officially as well as unofficially. You don't -- it doesn't have to be a conspiracy theory. The reality is that when a central bank buys gold, it's an active volition. They know better than anyone else what it's like to have to buy assets during a crisis for political reasons. When they buy gold, it's for only one reason. Number one, they know that it's the safest asset in their reserves. And number two, they're experiencing the revaluation of gold that could easily lead gold, and I think is leading gold, to multiply. Therefore, being able to have an asset like Donlin, which will be producing at its outset, 1.5 million ounces a year, and being able, we believe to sustain that for life of mine, is very valuable strategically. Again, it will be the largest single gold mine in the United States. The only comparable for it is the [ Scuola ] project, which is a [ Polyus ] project located in Russia. And we are on the right side of the bearing straights. This is where investors will go for wanting quantity and quality. If we are able to show that this is a string of pearls like [ Carlin ], or Nevada, all bets are off. We could turn ourselves into another [ Agnico ], which, of course, would be brilliant because that's a wonderful paradigm to seek to follow, great management, excellent assets, and all safe jurisdictions. That's the paradigm. And Donlin could be one-stop shopping for that. Thank you.
Melanie Hennessey: We have the second question coming from the line of Keith Redman. Can you share a time line of when you hope to get to production?
Greg Lang: All right. Keith, thank you for the question. I mentioned earlier, but be clear. By the end of this year, we will begin updating the feasibility study, and that will take about 2 years. Concurrent with the study, we're also going to be evaluating financing options and just preparing ourselves so when the study is completed and we certainly expect it will be positive. So when the study is completed, we'll be in a position to initiate the work at site, which we currently have the authorization to do with the [ Wetlands ] permit. So that 2 years will take us through the feasibility study and to build the site up, will be about 4 years.
Melanie Hennessey: Thank you, Greg. And the final question coming from the webcast comes from the line of Nils [indiscernible] from Long [indiscernible] Advisers. What are the immediate priorities of the Paulson partnership that are likely to close the valuation gap versus historical precedents?
Greg Lang: I'll start with that one and then flip it back to you, Tom. I think we are right now totally aligned with people at Paulson. And that we share the view that the next logical step to advance Donlin up the value chain is to update the feasibility study. So they are 100% in agreement with us that will get underway toward the end of this year. They are also supportive of the ongoing drill program that we have at site in all of the activities, whether it's defending our permits, community engagement. They are fully aligned with the approach that Donlin is taking.
Thomas Kaplan: I'll add this. There are very, very few funds in the United States now, which have dedicated gold analysts, or experience in being able to assist in the navigation of an asset or a company up the value chain, as Paulson did with Detour as they're doing now with [ Perpetual ]. I fully expect that both publicly, as well as behind the scenes, Paulson will be, at the very least, contacted by many investors who know John personally, who know his right hand, [ Marcelo Kim ] personally have worked with them, they have money with them. And when they ask, look, we don't have the in-house capabilities that you do. Give us the Donlin story. We believe that -- well, we know that John will speak about the asset exactly as we do. He will say in its combination of attributes, it's not just the best gold development story. It's unique in its attributes. And that's going to be a shortcut for a lot of investors. And by the way, because this is a transcendent transaction with multiple catalysts for good news going forward. I don't think it's unreasonable to believe that we will go from very sparse coverage of a story, which didn't have much to talk about, to very considerable analytical coverage, which will be able to provide, again, a shortcut for people to be able to have access, to [ knowledgable ] advice who will be able to bring them up to speed on this story. And lastly, of course, but not least, as I've said, it's not possible to say that someone like myself who in the last offering maintained their 25% holding in the company, or John Paulson, pulling the trigger on an $800 million investment and being willing if needed, to have purchased more shares of NovaGold to make sure this transaction went through in the best way for NovaGold. We have everyone aligned on wanting the NovaGold share price to go up. We are in such a better position on every level than we were 5 years ago when we were a $4 billion market cap, or $12 stock, every position. Now we only have tailwinds. Gold, fully aligned partner. Having a partner that wants to talk about the virtues of Donlin rather than suppressing the share price for a different agenda. The one headwind we had was gone. And once we start to gain momentum, I fully expect that we will be breaking through and making all-time highs, not just because of the attributes that we all bring to the table. But because for the first time, everybody is rowing in the same direction, or singing from the same [ him ] book, whatever you want and putting their money where their mouth is. This isn't just talk we are absolutely deadly serious about being able to recapture the lost ground, catching up with the [ GDXJ ] and then doing what we traditionally have done, which is [indiscernible] as the most highly rated gold development story in the world.
Melanie Hennessey: Thank you, Tom. Before we turn it back to Greg, I would just like to remind our listeners that Dr. Kaplan's letter to shareholders was recently published and is available on the homepage of our website. It provides some macro views on gold overview of the transaction. So I would encourage you. It is an interesting read. And with that, I'll hand it back over to Greg.
Greg Lang: Thank you, Melanie, and thank you, everyone for joining our second quarter webcast and update. That concludes our presentation this morning.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.